Operator: Good day and thank you for standing by. Welcome to the Glencore 2024 Half-Year Results Conference Call and Webcast. At this time all participants are in listen-only mode. After the speaker's presentation there will be the question and answer session. [Operator Instructions] Please be advised that this conference is being recorded. I would now like to hand the conference over to our first speaker today, Martin Fewings, Head of Investor Relations. Please go ahead.
Martin Fewings: Good morning, good afternoon. Thank you for joining us from wherever you are. Welcome to our first half 2024 results presentation. Joining us today Gary Nagle, CEO and Steven Kalmin, CFO. I'll hand over to Gary to commence the call.
Gary Nagle : Thanks, Martin. Good morning, good afternoon, good evening, wherever you are, wherever you're dialing in from. In addition to Steve, we've got David Wagner here as well, our CRO. So anything operational or operational results we can revert to him. But I think we'll just kick off immediately in the presentation. Those following it on the screen or if you have a printout or copy in front of you, we'll start on page four. It's a very pleasing financial result. This is the normal scorecard that we put out. So it should be familiar to most of you. And adjusted EBITDA for the first half of a little under $6.5 billion, $6.3 billion. If we break that down a little bit into the components on an industrial side, adjusted industrial EBITDA at $4.5 billion. That's obviously down off last year and predominantly driven by two main factors. One being the lower earnings in coal. We've seen coal prices come down quite significantly from the extreme high benchmark pricing that we saw 2022 and into 2023. That's now seems to have normalized more into 2024. Still very strong coal prices, particularly out in Newcastle. And in fact, prices have picked up since the half year, as you would have seen on your screens. So coal has come down to a more normalized pricing and that's contributed to a lower adjusted industrial EBITDA, but still a very good result. The other area that's contributed to the lower industrial side has been the lower realizations on cobalt and nickel. We all know those markets in oversupply and netbacks and pricing back on those metals have been significantly impacted along with TCRCs on our metallurgical asset business. On the marketing side, a very pleasing result, a $1.5 billion adjusted marketing EBIT that annualizes to $3 billion for the year. As you all know, our guidance on marketing EBIT is 2.2 to 3.2, so coming up at the top end of the range. We did guide earlier in the year at 3 to 3.5, and we're on target to meet somewhere in that range. So a very pleasing result. And what we're very happy with about, again, and it does point to our diversified model, the fact that as we've seen energy prices normalized and volatility come out of that market, in previous years, we've seen a big portion of that adjusted marketing EBIT coming out of the energy side. In this year, the vast majority coming out of the metal side, so the very strong first half of the year. And we're very happy with the diversified model that that marketing business provides us in our operations. Moving on to Slide five and onto our ESG scorecard. Earlier in the year, during our 2023 AGM, very pleasing support for our Climate Action Transition Plan, which covers the years 2024 to 2026. We have over 90% support from our shareholders, a real recognition of the strong stewardship that we provide over our climate ambitions and our climate strategy. So very happy with that, and that's obviously a big increase in terms of support from previous years. The other announcement that we've made this morning as a result of a thorough analysis by the Board and by management and after an extensive consultation with shareholders is that we will be retaining the coal and carbon steel materials business within Glencore. That certainly has been an area of a lot of debate and discussion over the many months that have preceded this and since we acquired EVR. But we've seen a significant change in shareholders' appetite for holding on to these Tier 1 best-in-class assets and that's been also associated with the fact that we've committed to our responsible rundown and shareholders have recognized that holding these assets in Glencore in responsible operators hands is probably more ESG positive and favorable than spinning these out into its own standalone vehicle. So we put out that announcement this morning and you would notice that on the wires. The other area that on the environmental side that we continue to de-risk and progress is our world-class pipeline of copper projects. As you know these are mainly brownfields, very low capital intensity in many cases and money being spent on those projects over the coming years to de-risk them and ready to bring those to market as we need which can bring on up to another million tons of copper into our portfolio of an existing million tons of copper. On the social side, very sad to report further loss of lives within Glencore. This is something that we do not take lightly. This is something that concerns us immensely. We've lost three of our colleagues in the first half of this year and we are doubling down on our efforts, our commitment to send everybody home safe every single day of the week. On the governance side, late on Monday an announcement was put out that we finally resolved the last of the previously disclosed government investigations. That's now behind us and we move on with none of these investigations any further. We also have completed one year with our independent compliance monitors. It's been a very constructive engagement with these monitors. As I've said previously, I believe we have a best-in-class gold standard compliance program in the company and I'm very pleased to report that the monitors are helping us to improve it even further. That has always been the positive of having these monitors in our company. We work constructively with them and we look forward to further engagement as we go forward. Moving on to Slide six, a quick recap of where we are in EVR. The transaction to acquire EVR closed a few weeks ago on the 11th of July and we're very pleased with what we've bought. We've bought a best-in-class, Tier 1, low-cost, high-quality, long-life asset in a terrific geography. The amount of times in this industry that one has an opportunity to buy a Tier 1 asset of this quality. Steve and I debate this all the time. It's a once-in-a-generation that we get to buy such a good asset and at such an attractive price. We're very happy with that. It's still early days, but we see potential upside for the business through synergies. We're very happy with the assets that we bought and also not only the assets, but a very strong, dedicated and world-class management team and employee base there. I'm very, very happy to welcome them into the Glencore family. It's a business and I'll talk a little bit more later on about our growth in copper equivalents, but this is something that certainly contributes to the growth in Glencore as we go forward. With that, I'll turn over to Steve on the financials.
Steven Kalmin: Thank you, Gary, and good morning or evening to those that are listening into today's call. We'll run through the H1 performance 2024. Many of the slides, as Gary said, will look relatively familiar, but it is worth spending also time as we look to bring in the EVR business that Gary mentioned and pro forma for that in terms of its cash flow contribution, how we're accounting for that business. Also, some segregation between the energy coal and steelmaking coal later on. Also, we'll give in terms of margins and how to think about the modelling and the build-up of those assets. We'll look at balance sheet and capital management and how that's been reset to the $10 billion excluding marketing lease liabilities for the purposes of surplus capital generation and shareholder returns and top-ups. Then we'll run through some of the spot-free cash flow generation that we update from time to time, which we did as of a few days ago as well. On Page eight, there's a few financial highlights. We'll get into many of the main numbers we'll cover later on and provide some more details. Gary mentioned the headline $6.3 billion of EBITDA. That does include still some remnants of Koniambo expenses this year as it's been transitioned to care and maintenance. Those should also reduce over time. We're also spending money at our copper development projects in Argentina and North America. There's also some expenses going through that EBITDA loan, notwithstanding that those are valuable growth projects going to the future. $6.3 billion is also useful to contextualize that, which I'll do later on, around the business generating about $17.2 billion annualized of EBITDA and spot-free cash flow, having acquired EVR particularly just a few weeks ago as well. In terms of funding, balance sheet is still very much conservative and in check. We brought down net funding by $1.7 billion to $29.4 billion, net debt down to $3.6 billion. At $1.3 billion, that was also aided by a $0.4 billion reduction in our readily marketable inventories. From a gearing or a net debt adjusted EBITDA, we're right down at $0.26 or around $0.75 pro forma for EVR. As if that had happened 30 June, notwithstanding, we'll bring in the EBITDA and the cash flow going forward. That should continue to preserve very conservative metrics. If we look at page nine, that's the industrial high-level points where we saw a contraction in those earnings period on period, almost exclusively down to the lower coal earnings on the back of lower pricing, particularly on the thermal coal, Newcastle and also Origins in our South American and South African assets as well. You can see that's all clearly earmarked at the bottom right. The yellow bars is a $2.6 reduction out of our energy and steelmaking coal business. $2.7 billion of that is from the coal business. The oil business that we do have, which is mostly the Astron Refinery in Cape Town, with some non-controlled upstream exposure as well, had a very pleasing performance with the rebuild of the refinery down in Cape Town. Refining margins have been quite healthy, so we've had a strong contribution from the oil business. Still healthy EBITDA margins during the period, which should continue to improve as the portfolio evolves and we're adding in particularly EVR and some growth that we expect in volume of the business into the second half of the year. On the metals and minerals side, we have called out the lower contributions from our custom smelting business, both in copper and in zinc, $180M and $107M respectively. We've seen TCRCs down to historically low levels in both and some cases have even gone negative. That's a factor that's been helpful in the marketing business as well. We've seen some tight markets generally there. There's been some desperate buying and securing of what's been tight markets. Generally, all goes well for those markets going forward, but it has depressed earnings within our custom smelting operations as well. So there was a $0.3 billion reduction that has affected unit costs during this phase of our business as well. If we go into the waterfall bridge of the industrial movement, $7.4 billion to $4.5 billion, it's very much price-driven and sensibly all in the coal. The $2.8 billion reduction, pricing period and period, $2.3 billion of that was in coal, with some modest reductions in the copper business. Not in copper, the prices were actually up period on period, but we continue to see low cyclical prices in realized cobalt prices. Net-net, there was a reduction in our copper business due to pricing through byproducts. Zinc was $0.1 billion as well, slightly lower period on period zinc prices. Nickel was $0.3 billion due to the continued challenges facing the nickel market in an oversupplied market and prices that have declined 28%. You can see the bottom left, we show some of the benchmarks, Newcastle down 36%, APR 4%, 22% nickel and cobalt. We've seen copper up and gold and silver obviously presented some positive impacts on pricing for us. Volume was relatively static during the period. In fact, it was positive within our zinc business. We've seen the continued ramp-up of Zhairem progressing and going to plan within our zinc business and is responsible for quite a continuous improvement in some zinc units that we expect in the second half and once it reaches full production at some point. So there's about one positive volume metric on the zinc side and as I mentioned earlier on, even on the oil business as well, we've had a positive volume contribution from Astron down in Cape Town with the retrofinery having moved into its full production levels. There were some modest negatives on the volume side period on period in coal. We've called out some of the reasons, capacity, long-haul moves, particularly in Australia and South Africa still responding to challenging infrastructure networks. On the cost side, I always like to look at costs net of the cost line that's in local currencies and then the FX movements as well that from period to period will either insulate or you'll see negative correlation around producer currencies against the U.S. dollars. So $0.3 billion, there's a net increase in costs overall across the business. That's only around 2.5% of our cost base. So quite benign generally. You've seen moderating inflation, but you've still got some lower impacts that happens from time to time as you have wage negotiations, as you have some CPI-linked price increases across various contractors and agreements and the like. It's all impacted for us in the, of the $0.4 billion, $0.2 billion was in the copper business and $0.2 billion in the coal business. We've called out some of the impacts across copper and coal, across higher maintenance, that sort of caterpillar spares increases. It's some higher explosives and fuel costs generally across the business, but quite in check. And we'll see a page later on that shows the cost position of the business relatively flat. And Koniambo is actually a positive period-on-period contribution, having been a negative of around $250 million in 2023 period, down to $99 million for this period, and that continued to moderate as we move in through the care and maintenance phase of that operation. If you look at Page 11, it's a very busy slide across our key and more material businesses at the moment in copper, zinc. The new addition to this chart is separating steel making coal out into its own category. So obviously very important, very material going forward in terms of its volume cost and margin structure. It'll also make it easier to model and more straightforward. It's got its own pricing benchmarks around the hard coking coal benchmark that we use out of Australia and then apply our various discounts, either for Australian or our Canadian coal. With space requirements, we've had to move nickel into the other category, which continues for us to be about a $400 million to $500 million EBITDA business out of Australia and Canada at the moment. Hopefully with some growth out of Onaping Depth and some recovery in nickel price, we can give it its own sort of charts back here in the future. But in terms of fund side, it's now in the other. I think it's worthwhile before I just go into some of the numbers, and if you just jump to Page 22, it's in the appendix, but it'll show the passage and the trajectory and some of our costs that drives both the first half performance. It'll drive full year expectations and it also feeds into our spot illustrative numbers. In terms of unit costs on the copper side, you can see the -- now we show the gross costs. That's pre-byproduct. Then we show the byproduct credits as well, which is the copper business significantly. We have cobalt, we have some copper and silver units. We have some zinc units, of course, out of Antamina, and our metallurgical custom met credit also goes against that. So we're going, from '23 to expected '24, we're looking at a 220 in gross terms to a 228 increase in unit cost. That's up about 3.6%. The journey's taking us through 220 to 230 for the half. We'll drop down to 228 for the full year. That does reflect in many of our businesses that you're seeing an H1 -- H2 production uplift, both in copper we've got a 47%, 53% H1, H2 split on production. Cobalt, even more material, we've got a 42 to 58% split. We're seeing some more units, particularly out of both, both Katanga as well as Mutanda. On a net basis for the first half, we're 168 per pound, moving to 163, and around 165 is our spot illustrative calculations, which we'll show later on. Zinc, we're actually decreasing unit cost for the full year from last year's 308, we'll go to 301, but the journey is by 350 for the half year. That reflects a period again of a volume equation denominator of 45%, 55% split between the two. We've also had a buildup in some inventory, particularly in Kazakhstan on our zinc business. So we produced about 25,000 tonnes more than we sold. That does have a unit impact on the cost of SAP. But ultimately, in the zinc business, we'll actually see a 2% to 3% reduction year-on-year on our unit costs in zinc. Quite a bit of that used to do with lower power prices, particularly in Europe, having been at extreme levels through '22 and into early '23, given scarcity and LNG prices back then. On the steelmaking coal, we've been around 140 in our business up to this point. That's primarily our Australian coking coal assets in Australia. For the full 2024, we brought six months of EVR where we guided 130, completely different business. The Canadian business is going to dwarf the Australian business in terms of weighted average and margin contributions. So we’ll be 130 for the full year and 131 later on, we'll see on a spot illustrative for that particular business. On the thermal coal, we were 71 moving to 69 via 73. Again, you've got volume impact of our units in thermal coal being roughly split 46%, 54% between the two periods where we see recovery, particularly from our Australian business. We have seen about a $2 increase in costs, excluding royalties across the coal business generally as a function, as I said, of some fuel costs and freight cost, parts pricing, maintenance and the like. So if we saw previous variance of the $400 million in cost, about half of that was in coal, half was in copper. If we then jump back to the Page 11. I think that provides all the useful building blocks, a lot of the commentary we gave already last week by production explaining the H1 last year movements in copper, we were down 2% like-for-like, excluding the cobalt volumes, which we sold that business in June last year and expected second half recovery, they'll see another 30,000 tonnes coming out of the African business. That's not just Katanga, it's also with Mutanda as we look to increase throughput rates on both copper and cobalt in the second period. Also Antapaccay, we're expecting some additional units following a geotechnical event on recovery there from -- in Q2. And the met business, the custom smelting business contributed a 20% -- a $0.20 per pound lower custom credits that we spoke to earlier on in terms of costs, but that business is still running at about 1 -- lower $1.60 per pound in terms of cost and generating some pretty good EBITDA, $1.9 billion was the first half. And for the spot illustrative, we'll look later on is going to be a $4.5 billion business. Zinc reported $600 million for the half. Again, we're expecting an increase in units in the second half, predominantly coming from Kazinc with the expected ramp-up in Zhairem. That, itself is going to bring down costs to about $0.18 a pound. And on a spot basis, that business will be $1.6 billion, which we'll show later on. Steelmaking coal, we've separated, as I said, from energy coal, even in Australia business, generated $400 million, but that's the big portfolio adjustment as we look going forward. We're pro forma or adding 12 million tonnes of guidance to the second half of the year. It's a completely different business. And for a full year, again, later on or spot illustrative we had $3.2 billion for that business very much on the podium as we take that forward. When we report EVR, we will be consolidating that business. So everything you'll see both at production and EBITDA level going forward will be a consolidated 100% of that business. We will be providing a minority distribution when we look at our spot illustrative cash flow. So you'll see that also when we talk about that later on. And the energy coal business, $1.4 billion of EBITDA, we've given all the building blocks. We are expecting quite a bit of recovery in units, particularly out of Australia due to some longwall changes and some reduced strip ratios in the second half. And we are seeing -- starting to see some of those portfolio adjustments come through with our responsible rundown strategy. Gary spoke to that earlier on. We do have 12 mines, at least 12 that will be closing by 2035. The first of those, we sold -- last year on the steam coal side. Integra was closing this year on the coking side. Newlands was one of those operations also closed last year. If we then look at the -- if we jump to Page 12, you can see the marketing performance, $1.5 billion. And again, shows the strength of our business portfolio, where we've seen a nice pickup on the metals contribution from 0.8 first half last year to 1.2. That pleasing results across copper, zinc, aluminum are areas that we've called out. So what you maybe lose on the left hand, you can pick up a little bit on the right hand through those low TC/RCs affecting our met business. They do create interesting trading markets and tight markets and dislocations. And the likes in aluminum, we saw dislocation in aluminum, for example. You've seen some force majeures out of Australia and the likes as well. So again, opportunities in that business have performed pretty well. The energy business has come off. It's high as we saw in 2022, in particular, some of that continued into first half 2023. It probably under-earned in the first half but again, the strength of the business still delivered $1.5 billion, annualized at $3 billion top half of the range. We're still keeping our $3 billion to $3.5 billion guidance range. You can see bottom right, obviously, we've only -- it's early into second half. We've had one month of July, which was pretty good. And annualizing, if we were to annualize or extrapolate just from that one month into six months, we would finish within that $3 billion to $3.5 billion range, maybe path of least resistance, guidewire, stick to the maybe lower end of that for the full year just given that's where we're annualizing for the first half, but there's certainly scope to finish anywhere within that range as we move forward. In terms of net debt trajectory, Page 13, some good cash flow generation in the business of $4 billion of the funds from operation. That's effectively the EBITDA of the business, less tax and interest payments. Our net CapEx cash flow of $2.9 billion. That's pretty much tracking to our $5.7 billion annualized guidance of the base business over the next three years, 2024 to '26. We saw a $1.7 billion reduction in the non-RMI working capital, something that we flagged in our production report last week. To give some examples of what's in there, of course, you would have seen we announced a few months ago at around March period, I think, when we exited from our Mopani exposure business when we sell that business back to the government a few years ago. We had a sort of a long term -- a vendor finance loan essentially that was linked to the performance and the copper prices over that business for many, many years. There was a new partner -- a new strategic partner that came into that business. And in settling our loan obligations, we got around $350 million upfront, and we can still -- we still continue to have some exposure to future copper prices and some loans still to that business, but that did generate some working capital inflow. We've also had some continuous sort of cash performance through the LNG portfolio that a few years ago, we saw some big money tied up in margin calls as well as longer-term physical mark-to-market positions. We saw some unwind of that continuing to perform. We also saw some non-RMI inventories also declined, a few hundred million. So each of those categories was $200 million and would -- and we wouldn't be expecting any unwind of that 1.7 per se. I think we'd be suggesting and of course, working capital can go up or down, but we think a flat working capital position from here is a reasonable position to take. We paid out the first half of our distribution in the first half of this year. And you can also see there's quite a big increase in the leases -- the finance leases part of the business that's added $0.6 billion to reach a $3.6 billion of net debt. I think it's important to spend a minute or two on what these leases are. We have some marketing-related leases, and we have some, what we call, industrial leases. Now industrial leases would be a decision as to whether to lease maybe a new fleet of trucks somewhere or just to pay cash out right. That is a pure financing decision. It's quite correct that, that should be on debt. The other side of the finance provider is generally a finance institution. The marketing-related leases, these are essentially chartering of vessels, maybe some storage. They're very short-term facilities. We're showing -- or short-term commitments up to 2/3 of the marketing leases actually expire within two years. These historically before changes in lease standards a few years ago, they were expenses. They were just a cost of business. And we continue to think of them as a cost of business. We're just procuring freight storage for general customer performance and movement of product generally within our oil and gas business, is where a substantial amount of those are. So they wouldn't -- it's not something we would see in the traditional capital structure side of how we fund our business between equity and debt and what is a typical leverage in the business. They do amortize very quickly and they have more of an OpEx nature than a finance nature. Now if we then roll that on to Page 14, basis, the decision to retain the coal and carbon steel business. We've confirmed and reset back to the $10 billion, which we were before excluding marketing-related lease liabilities. That was always something that we called out when we established this framework 3, 4 years ago, that the $10 billion CapEx, excluded marketing-related lease liabilities, these were never particularly material. It's been ramping up more recently to the $1 billion level. If you go back to maybe two years ago, it was closer to $400 million or $500 million. So we do need to take that into account when we think about what the capital headroom is, what the surplus capital position is and pro forma-ing from that business as we roll forward. Having started the period at $3.6 billion on 1st of July, we, of course, very shortly thereafter, we send $6.9 billion to Vancouver. So that would have taken up our debt levels on a pro forma. We have taken distribution. We need to pay 0.8. We've taken out the marketing lease liabilities of $1 billion at the end of June to reach a pro forma debt level of $10.3 billion. So you really are in touching distance of our sort of target cap level, if you like. That does show the top-ups and distributions. Beyond the base distribution is always going to be there, and that provides a reasonable yield, both from an income and just a cash return. It is the first part of our capital return framework. Any top-ups through buybacks and additional special distributions will inform. So we start the period pro forma of $10.3 billion and then we're generating over $6 billion annualized of free cash flow. We've got other tariff process to only look forward to also in the next several months once they get their final approvals done. That's $1 billion of cash upfront, as you know, with some shares also in the enlarged Bunge business as well. So the sort of pathway and acceleration and -- was certainly not the only reason, but it was amongst a range of reasons as to decisions of our attention to business is that it does accelerate and optimize and stronger together part of cash flows in the business, and we could sort of all goes well for top-up returns in five or six months' time. Just finishing up soon. We've got our CapEx, nothing much to say on Page 15. No change to the base business, guidance of $5.7 billion per annum. Over the next three years, we're tracking pretty much out. On top of that, we called out that internally, we've earmarked up to $400 million combined for the Murrin, El Pachon development projects in Argentina. We got two exciting country is also a lot of interest in the country. We're very excited about our prospects. We're doing a lot of work to move these two projects along and we'd spend $61 million in CapEx in the first half of the year in addition to some OpEx that we obviously spent in wrapping getting the teams and building capability in-house. The EVR CapEx is still quite preliminary and premature. We've just taken over the business. We, of course, have some models and take it given some guidance as well, but we still need to get our own hands on the wheel now, and then we'll sort of comeback by the time full year results towards the end of the year once we've got a firmer handle on that business and the plans and the CapEx and some synergies that we expect. But in H2 '24 guidance, a preliminary estimate is -- could be circa $500 million for that business as well. And then the wagon wheel at the bottom is really just reconfirming what some of the big projects are, excluding EVR of the base business as well. Before I hand over to Gary, we'll just jump very quickly to Page 21. That's just the spot illustrative cash flow of the $17.4 billion business as well. I think we've covered copper, zinc, steelmaking coal at 100%. We've got energy coal as well. The other buckets, the $1.1 billion, that's across our ferroalloys business, around $500 million business. Nickel, as I mentioned earlier, on $400 million. Aluminum that's to us in Alunorte in Century moving in the right direction. 0.1, oil business with the refinery and some upstream at 0.5, copper and Other at 0.4. Marketing at 3.4, which is at $3 billion. $2.7 billion of EBIT or middle of the range, or $3 billion, obviously, in a higher interest rate environment, which is where we are. Of course, if interest rates go lower, maybe that goes low, but so will our interest below the line also go lower. So there is a one-for-one adjustment there. There's a little bit of $17.4 billion, maybe you sort of adjusted EBITDA, we've got some projects, some K&S, closure costs will obviously come off that. We've called out maybe $100 million between those two. The minority EVR distribution for the 23% we don't own is in that $4.6 billion, and we've included $850 million on top of our $5.7 billion for EVR CapEx. That's the midpoint of an 800 to 900 level triangulating between our own models and what Teck had previously put out as guidance for that business. Of course, we'll do some work and come back. So healthy cash flow generation, notwithstanding sort of uncertainties and macros for the quality of the business and performance generally is good. And I'll hand back to Gary.
Gary Nagle : Thanks, Steve. Just a couple of slides before we turn over to Q&A. I think first is just to look at a little bit on -- and I alluded to it earlier in the introduction to the presentation, is the addition of EVR to our portfolio. As I said, this is a Tier 1 best-in-class asset. Very fortunate to have bought this at such a quality asset. It's such a quality price. And if you look at the graph that we have on the left on Slide 17, there you can see the base on a copper equivalent basis. We're about a 3.8 million copper equivalent unit production. That certainly adds huge growth to our portfolio for 2025, just under 20% growth in terms of copper equivalent units at, as Steve said, it's just under $7 billion. A low cost, long life, high-quality assets. So as you can see in terms of on graph, very pleasing, strong growth. And on top of that, just moving to the right, what comes after that is significant growth in our copper portfolio. And as we've explained earlier on these calls, we will bring that portfolio and those assets into production when the market needs those tonnes. The portfolio is made up of predominantly brownfield, predominantly low capital-intensive projects. Those will be brought to market as the market needs those copper units in a value-accretive way for our company and for our shareholders. Already, we're spending some money on those. We're calling out approximately $400 million between 2024 and 2026, particularly on our two Argentinian projects, MARA and El Pachon. Argentina is the next frontier for copper growth. No question. We've seen the BHP Lundin deal there. There's a number of projects there. And it looks like a very exciting jurisdiction to invest in. Our projects there are world-class. El Pachon with the greenfield is just enormous. We've mentioned before, we've had to stop our drilling program because the more we drill, the more we find. We don't need to find anymore. And MARA being effectively an extension of the old operations that we have there. It's a low capital intensity brownfield project, and that's likely to be first to market when the market needs it. So in addition to the growth that EVR brings us, we have significant growth, another up to 1 million tonnes of copper that we can bring on, and we will bring on overtime as the market needs it. And finally, on to the last slide of the presentation on Slide 18, just a summary of where we are, a leading copper producer. We know that we produce 1 million tonnes of copper. As mentioned in the previous slide, we'll be able to grow up to another 1 million tonnes of copper as and when we need to -- we'll need to bring those projects on. And the key parts, and I keep emphasizing this is mostly brownfield stuff. We will be looking to do that sensibly in a capital-efficient manner and in a market-efficient manner when the time is right. Our energy and steelmaking coal business, the energy making -- the energy or steam coal business under a rundown -- our responsible rundown strategy still contains best-in-class Tier 1 asset with very high-quality steam coal that the world needs today. And as you've seen, coal prices, particularly other new -- are looking very strong as the world continues to be hungry for energy as it decarbonizes but the world continues to grow. It needs that energy, it needs that high quality coal, and we provide that. Steelmaking coal now a key part of our business with EVR. It's always been important for us, but now much more important with EVR. A certainly a transition enabling commodity, a critical mineral in many parts of the world. Absolutely critical for decarbonization infrastructure, an S&D balance or an S&D scenario that looks very exciting given the inability for major ramp up in supply and the fact that it is a commodity that is not easily substituted or moved from requirements in terms of steelmaking, very excited with that and certainly a key part of our business now that we're a major producer of steelmaking coal. Also, supply of battery and alloy materials. As you know, we're big suppliers of zinc, nickel, lead, cobalt, manganese, ferrochrome and vanadium in more parts of the world. These are key inputs into decarbonization, key inputs into industrialization. And for our customers, we become a one-stop shop in terms of supplying all their needs with respect to these commodities. Our recycling business charges on, doing very well. We continue to produce four critical minerals out of our recycling business. And again, it's something that sets us apart from many of our competitors because we're able to provide those recycled materials. And as we see the world continue to progress and we see a ramp-up in end-of-life batteries, particularly out of the EV industry, that business is set to continue to grow. Our marketing business, we touched on that, and Steve mentioned the guidance of $3 billion to $3.5 billion for the year, which is certainly a normal range of $2.2 billion to $3.2 billion, doing very well. And the other thing that Steve mentioned, given that it's diversified across our commodities where last year or the year before, last year, it was predominantly an energy-based marketing results. The first half of this year has been predominantly metal-based. So as the world evolves, as opportunities come up, as there are arbitrage opportunities, in whichever market those present themselves, we are able to maximize profits and capitalize on those opportunities. And then lastly, back to the numbers that Steve mentioned, a business that's very strong, very cash generative, spot illustrative numbers, EBITDA of $17.3 billion and free cash flow of $6.1 billion. So looking forward to a very strong second half of the year. And with that, I'll turn it over to Q&A.
Operator: [Operator Instructions] And now we're going to take our first question. And the question comes from the line of Chris LaFemina from Jefferies. Your line is open, please ask the question.
Chris LaFemina : Hey, good morning. Hopefully, you guys to hear me okay. I'm having some phones issues. I just wanted to ask about the marketing EBIT. So your guidance range of $2.2 billion to $3.2 billion through the cycle is unchanged even though you've added EVR. And is it possible that as you fully integrate EVR into Glencore, in particularly on the marketing side, that there is some upside to that guidance? And how much additional marketing EBIT do you think you can get from that business?
Steven Kalmin: Thanks, Chris. Good question. We do expect some EVR marketing synergies as well, even on the initial sort of proposal to Teck last year. We did sort of put some synergy numbers generally about the combined business and what's operating, some of it was sort of marketing at the time. I think we even had a number of 300 across marketing for both sort of metals and coal. So we would expect some synergies to come. What we've told and maybe with you maybe the market in the past, the -- once the Viterra transaction has closed, and that will probably work quite well with when we've been able to sort of get our feet under the business for a bit longer at EVR, it's incumbent upon us to sort of reestablish, reconfirm, come out with a new range. Sort of primacy take out Viterra, you would lose some earnings that would have underpinned that historical rate. So once that's closed, and as a minimum, I would expect to be able to maintain $2.2 billion to $3.2 billion, excluding Viterra. So that is an implied upgrade relative to historically, helped by EVR and various other factors over the last number of years, but that's work that will be -- that we're doing and thinking about, and we'll be ready to announce upon the close of Viterra shortly thereafter, maybe when there's a financial reporting cycle just to be able to come up with what's a sensible new range.
Chris LaFemina: And on the net debt target, which is at $10 billion, is that something that might be reconsidered as well? Because I think the $10 billion before the EVR transaction, and there was some hope in the market that it might be increased as a result of the incremental EBITDA from EVR. How should we think about that?
Steven Kalmin: Yes. The thing about the -- and again, it's a good question, and it's -- and we've had some incoming on it also over the last sort of year or so. I think the way to think about that net debt cap is reconfirming the $10 billion, excluding marketing lease liabilities, is that now is very solidly sort of floored and anchored and the bias or trajectory -- can be to step it up over time. I think we would need to also see some copper units and the size of that business expand. We've got -- Gary spoke about the sort of million tonnes of sort of optionality. There is some dollars that's clearly got to go into that to deliver those at the right time and the right construct of those businesses, and also played against that sort of $10 billion ex-EVR might have had, not immediately, but I think there might be some downward pressure just due to portfolio construction. Now of course, as we sold Viterra and you monetize that business over time, that's taken a valuable cash-generating asset out of the business. At some point, your operating base of your steam business -- steam coal business steps down. We've got these targets of 15%, 20%, 50% down by just 35%. That's obviously sort of an operating base. Now does the volumes get compensated with higher margins over time remains sort of to be seen. But the direction of travel portfolio-wise, at least across Viterra steam coal was a reduction in portfolio. That -- the intention is that, that could be fully or partially compensated with growth in copper and other M&A. But all things being equal, there was a -- it's sort of a potential having us to think about whether that was going to step down at some point over time. What EVR has done is that that's taken that off the table. It reconfirms it is a solid 10 and potential to upgrade that over time also as we bring some copper units and the cash flow capacity of the business increases.
Operator: And the next question comes from the line of Liam Fitzpatrick from Deutsche Bank. Your line is open, please ask the question.
Liam Fitzpatrick: Good morning, Gary and Steve. First question is on just the balance between M&A and capital returns. You've given a fairly clear indication in the release that net debt will be somewhere below $10 billion cap by year-end, and this should allow you to top up the base dividend. But there's also headlines that you're open to more coal deals. So is there a priority near term to put cash returns ahead of deals? Or do you see near-term opportunities in coal such as Anglo or other assets that may be out there? And then the second linked question is on the Viterra disposal. Once that completes, how will you treat the equity portion of around $3 billion? Would that be offsettable against potential acquisitions when thinking about the shareholder distribution and that $10 billion cap?
Gary Nagle: Good morning, Liam. Thanks for the questions. I'll leave the Viterra one to Steve. On M&A, we won't comment on particular processes, but -- and I think I've said this before, the company has -- we're always open to M&A. It's part of our DNA. But we will be very capital disciplined. And in terms of any M&A that we look at, we also have the benefit of buying back our own shares, which in itself is a form of M&A. So any sort of M&A that we look at to the extent that we have capital available for distribution, whether it's to buyback our own shares or pay dividends, we should also be comparing any M&A opportunities versus buying back our own stock and ensuring that we are not doing anything that's dilutive for our shareholders. The fortunate thing is our balance sheet is very strong. As you rightly mentioned, we will be below the $10 billion by year-end, which allows us to increase distributions to shareholders in the absence of M&A. But that M&A, if there is that opportunity to do M&A has to then compete with that alternative or either giving it back to shareholders or buying their own stock. But we remain open to M&A opportunities if it's value accretive for our company.
Steven Kalmin: And Liam, just on the stock portion of the merger, once it closes -- it's an interesting question. I mean, of course, the -- it's not going to be a classic net debt reduction. It's going to be a listed security. That' going to be -- to sort of mark to market. But clearly, the direction of travel for that business sort of noncore, ultimately, it will be monetized in some way, shape or form. So we can possibly think about that a little bit differently to some other listed securities that we do have that are sort of integrated and part of our long-term business, whether it's sort of there's stock and Century or whether it's some other listed securities that we have as well. So I don't know yet, and it's sort of almost thinking aloud on this call. Does it deserve some ability to already think about that and maybe with some haircuts, maybe with some other because you've got to be conservative? We've obviously setting the whole thesis of the cap and the distribution was sort of earn your money, make sure the money is in the bank and then it's there to be able to either pursue sort of capital deployment initiatives, buybacks, payment of distribution. So obviously, it's not money in the bank then, but it is an investment that's going to ultimately be sort of noncore and we'd look to exit in the most sort of value conducive opportunity down track, working with all our stakeholders and the Bunge team themselves, of course, in terms of how we exit eventually. Of course, I don't think it's going to come as any surprise to someone. So maybe there is some half wheelhouse there that we can think about around the it potentially can be thought about in and as a sort of a pro forma type sort of reduction in headroom and capital headroom in the business, not concluded upon, and maybe it's a wishy-washy answer, but it's -- that's as good as answer once I've at the moment.
Liam Fitzpatrick: Okay. I think that makes sense. Just a quick numbers, follow-up one, if that's okay. Just on a few people have picked up on marketing CapEx in H1 was about $600 million. Is that mainly the shift in leases? It’s all leases?
Gary Nagle: It's all leases. It's all leases.
Operator: And the question comes from the line of Alain Gabriel from Morgan Stanley. Your line is open, please ask the question.
Alain Gabriel: Yes, good morning. Thank you for taking my questions. Steve, one question for you is on the building blocks for the year-end pro forma net debt and by extension, the capital returns potential. Now that you have started to exclude the $1 billion of marketing leases, do you see any big risks to the $1 billion cash received from Viterra say, during the second half to a point that prompt you to exclude it from your pro forma calculation? That's one. And then two, if commodity prices remain on spot, how should we think about the net working capital release in the second half? And any other considerations in these building blocks?
Steven Kalmin: I mean, no risk that we can think of around the tariff. It's just not a done deal. The marketing leases are a done deal, and it's how we've treated these things in the past. And I mean, you would recall, the last example of that is when we had that Cobar sort of transaction that obviously took a while to close. There was sort of a complex close, the spec sort of structure and questions came in and says, well, why don't you put that? And we said, well, when it's done, it's done. You can never -- there's never a 100% guarantees in these things. It's sort of following through its normal processes and they got the EU approval the other day and sort of a handful to go, and Bunge announced that they expect to close in the next several months. Now when that's closed, will -- it will move -- it will shift into the pro forma and bankable and we'll go from there. So I mean, of course, on the other line, if we've got a commitment to fund something, then we need to include it. On the sales side, I think we need more than it's going to be pretty certain. So there's any risk that we see. It's the passage of time on that business. Net working capital, I mean, at current commodity prices, you probably have a little bit of release -- a little bit further release, frankly. But that's -- I mean, we expect things to recover at some point, particularly in some of the metals markets. Obviously, July was a bit weaker in some markets, and we have seen some working capital released just in July. But around the general spot illustrative, I would think sort of neutral is what I would look towards. I think that should be base case.
Operator: Now, we’re going to take our next question. And the question comes from the line of Jason Fairclough from Bank of America. Your line is open, please ask the question.
Jason Fairclough : Yes, good morning, guys. Thanks for the opportunity. Just a couple of questions for me. First one on Argentina and particularly MARA. So super low capital intensity project, fairly low technical risk. Could you just talk us through the path to approving this capital? Second one, I guess, more generally is on the -- what we used to call the battery metal theme. So we used to be quite excited about nickel, about copper, about cobalt and lithium. And I guess, today, we've got three of those four metals under extreme pressure as China has changed the rules. So just wondering how are you thinking about the evolution of the energy transition theme?
Gary Nagle: Good morning, Jason and thanks for your questions. Argentina, it's something you know quite a bit about. The path to capital approval revolves around -- I mean, two sides of it, obviously, getting comfortable with the political risk there, which has been derisked significantly over the last couple of months. You've seen the new bill passed and the work being done, even the fact that BHP have invested in Argentina tells you that we're not the only ones seeing the very positive signs around the country and the changes happening. You've seen some of the -- just sort of some of the stats coming on and to inflation being under control. The work that's been done with the IMF. So generally, from a political, economic, regulatory stability, comfort side, Argentina is derisking very quickly, and that's giving us a lot of comfort. It's giving our peers a lot of comfort. And so we're really excited about that. That's the one side that's working, and we don't have a lot of control over that, but certainly, we have input into it and watch very closely. On our side, it's more around work around the project. As you know, the Alumbrera plant is in very good condition. We've kept it on care and maintenance. We have a working staff there that keeps the thing running. And it's around redesigning of the actual pit in the mine. The original feasibility study done was done more of the gold feasibility study. And we're really looking at that to optimize for copper and optimize for value, but it's more of a copper mine now. There's some changes in dump designs and dump placements and a few other things like that. That work is being done. And we've called out the $400 million of being spent in Argentina on both Petron and MARA over the next two to three years. Those are going towards early works, early engineering, feasibility study, those sorts of things. So that's the path. The other critical path, of course, is going to be markets. $8,800 copper is not a kind of market that we want to bring new copper into the market yet, but we do see a path to a stronger copper price, and we want to bring in this material into the market as it needs it. So there's a few parts, but each of them being worked on separately. On the -- as you call the battery metals theme, and you mentioned the -- you mentioned copper, cobalt, nickel and lithium, well, lithium, we're not in. We don't own any lithium operations, but we trade lithium. In fact, we're having -- just putting out in terms of our marketing performance, although small compared to some of the other metals, a very good year so far on lithium. This is something we don't produce, but we get through our -- we get aid through our recycling business and some of our other joint ventures that we have and some of our structures that we put in place. We get lithium offtakes and lithium repays and like some of our partners. And lithium marketing is, in fact, having a very good year relative towards last year. No, we know the story of nickel. Certainly, weak commodity with oversupply out of Indonesia. But our two operations, the Sudbury Basin Canada or I&O in Canada, not just Sabre but I&O in Canada and Murrin are both cash positive at current nickel prices, operationally. The -- and we produce Class 1 nickel at those businesses, the non-Chinese owned western geographies. So even the Spark -- and Steve, as you said in the presentation, nickel has been sort of really goes to the other category for them or other -- for the monuments, but that's mainly because some steelmaking coal has taken a big decision. But there's certainly upside in nickel, and it's a key commodity. We've seen demand for stainless very strong this year. And everybody talks about nickel being battery, but it's a key item. And in fact, the biggest part of the mine is, in fact, coming from stainless and the stainless industry still remains strong. Cobalt, I think I spoke about cobalt. I'm not sure I've spoken on this quarter about cobalt. But yes, cobalt at the moment, certainly structurally oversupplied, particularly out of the growth in supply from Tenke and Kisanfu in the DRC. But the demand side looks pleasing. All three buckets of demand, aerospace and defense, EV and home user goods, all are looking very good. So as that demand grows and the growth in supply starts to steady up and it will steady up because cobalt is not like nickel Indonesia where there's just new deposits being developed and ready to bring to market anytime. Cobalt does -- is, as you know very well, there's a byproduct and mainly out of DRC. There's not too much growth beyond what's coming on now. So we wait our time. We buy that time for demand supply to get back into balance. And whenever that happens, we see structural upside to cobalt pricing. And copper with the third -- or the fourth one that you mentioned, I mean, everybody's bullish copper. Everybody wants to get into copper. We're already obviously very large in copper with 1 million tonnes of copper production and another 2 million tonnes of growth. As you rightly say, low capital intensity and mostly brownfield. So that is certainly very exciting. In terms of demand for copper, we still see that as the backbone for decarbonization going forward, particularly the new industry people worried about China, but one thing about China copper demand remains strong because the spending on grid is very strong, spending on AR, data centers, renewable infrastructure and the like is very copper hungry, very copper intensive and that has a long-term very bright future.
Operator: Now we’re going to take our next question. And the question comes from the line of Marina Calero from RBC Capital Markets.
Marina Calero : Good morning. Thanks for the call. I have a question about your South African thermal coal assets. You book an impairment today. Can you give us more color on what part of that impairment is related to thermal coal prices? And what part is the ongoing export logistical challenges? And how do you see those evolving over time?
Gary Nagle: Sorry, there was a lot of noise in the background. Were you talking about the market and logistics? Or what specifically were you asking? We couldn't get the question clearly on the side.
Marina Calero: Sorry, can you see you hear me better now?
Gary Nagle: Well, we can. It was just background noise when you asked the first time. So if you don't mind repeating your question, it would be great.
Marina Calero: Yes. Sorry, about that. I was asking about your South African thermal coal assets and the impairment that you've booked. Can you give us more color on when you expect improvement in the logistical constraints in the country?
Gary Nagle: Yes, two sort of questions. I mean on logistics, certainly, we start seeing an improvement in Transnet performance. I mean, they still are not performing up where we would like and what the capacity in theory is, well over 70 million tonnes. It's still in the 50s. There are some weeks that it spikes up and increases. It's certainly off the lows. We're very encouraged with Transnet management in collaboration with the private industry and the work being done by private industry with Transnet and management's initiatives to improve throughput. But certainly still constrained, but definitely green shoots and some upside.
Marina Calero: Okay, that’s very clear. Thank you.
Operator: And the question comes from the line of Ephrem Ravi from Citigroup. Your line is open, please ask the question.
Ephrem Ravi : Just two questions. Firstly, on MARA and El Pachon. Again, I know it's great to see the projects kind of progressing. You had bought out Newmont and Pan American for about, what, $650 million on my calculations just two years ago. I know it's sort of probably a little bit too early, but would you be thinking of syndicating the project out again to kind of diversify the risk now that Argentina has kind of been effectively derisked and again, to bring in more expertise into the project, I suppose? And secondly, on the $16 per tonne portfolio mix adjustment on the steelmaking coal, I suppose that's mainly the realization discounts rather than in term structure on the contracts. Is that 5% to 6% discount versus the benchmark something we should extrapolate going award? Or is it possible to bring that down with your marketing system?
Gary Nagle: Ephrem, good morning. In terms of syndicate, look, MARA is brownfield. It's a low capital intensity, as we've said, and on the discussion we had with Jason. It's unlikely we would syndicate that out. I mean we're always open to partners in -- or selling parts of all of our assets at the right price. But it's certainly not something that we're chasing. We have expertise in-house, and we're hiring additional expertise in-house, so we certainly don't need the expertise. We have the capital, we have the expertise, we have a best-in-class project. So MARA certainly doesn't fall out for syndication. Though from a risk mitigation perspective, but if a partner or a potential partner wants to throw a big number at us for a piece of that project, of course, it's something that we could never -- we always look at. Petron is sort of sequenced a little bit later in our project pipeline given the greenfield nature of it in -- And certainly, a bit like MARA, that's always open to syndication, but not yet. We would have a look at certainly firming up our understanding of value there, the extent of the deposit, the upside, the value, the derisking it. And if it makes sense at the right time, at the right value, we certainly would consider syndicating or bringing a partner in.
Steven Kalmin: And Ephrem, just on your second question, that 16% is a -- as you said, it's around 6.5%, 6.7%, I think, which is just a blend between sort of our legacy Australian business and incorporating EVR into the system. We've used what they've sort of achieved historically, which is around an 8% realization discount to the prime Australian benchmarks as being sensible kind of illustrative for now. If there's any change to those assumptions or kind of modeling assumptions and the likes going forward, we'll obviously come back at some point. But it's just a blend of sort of historical achievements there.
Operator: Now we’re going to take our next question. And it comes the line of Myles Allsop from UBS. Your line is open, please ask the question.
Myles Allsop: Just a few quick questions. First of all, on the EVR and consolidation of met coal, do you think EVR prevents you from doing further meaningful deals, another sort of 15 million tonne type transaction? I presume it probably wouldn't have issues because of the fragmentation over the last few years, but it'd be interesting to get your views on that. Secondly, just on some coal -- prices holding up remarkably well, still obviously underpinning your cash flow. Can you just kind of give us a sense as to what you believe is supporting that Newcastle benchmark? And then just the last one on the spinout. Did you talk to any potential investors who are currently not shareholders? Because obviously, that's what drives the re-rating. Are you -- and what proportion of that non sort of shareholder investor base doesn't own Glencore because of coal? Do you get a sense as to whether there was upside from that you were to have decided to spin out coal? Thanks.
Gary Nagle: Thanks, Myles. Good morning. EVR and other deals, I mean, we're not going to take a view on antitrust. I say we have 20 million tonnes of high-quality coking coal in addition to our Australian business. We certainly don't have a position in the industry, which is enormous. And I think there's probably some space for growth. But we're not going to take a view of antitrust in terms of what that growth is or how much or how we would do it. Newcastle price, yes, Newcastle is strong. That is a combination of two things. You've seen some strong buying in Korea recently, a little bit in Japan, very hot in Japan, a little bit in Japan. They come back to the market. Korea is in the market and buying. But the other thing that's pushing you cost to process higher is Chinese demand. Now of course, China doesn't buy new of cost coal. It's traditionally not a market that -- they don't want the 6,000 kcal material. However, because of the strong Chinese demand for imports, and you see imports will be up again this year, a lot of new cost of coal that would normally go through the wash plant and be sold into Japan, Korea time, that is, in fact bypassing the wash plant to the 5-5 material and going into China. So therefore, you've seen a supply restriction on Newcastle, less Newcastle coal being produced because of the Chinese demand 5-5, and that's helped the supply-demand balance of the Newcastle material. On the spin-out question, yes, I mean, we spoke, obviously, predominantly to our shareholders, but we did speak to the people or parties who are not necessarily shareholders. And we've gone through the analysis of our shareholders and potential shareholders. And this is the decision that's come to basis that -- as well. It wasn't only restricted to existing shareholders. And this is the -- there's not that many shareholder or potential shareholders who would come on to the register coal we've got. There's one big Norwegian that we know -- Norwegian potential shareholder that we know of. But very few others that are not investing in Glencore because of coal. So on the basis of this full consultation and analysis by the Board beyond just our shareholders, we've seen that this is the correct decision.
Myles Allsop: Thank you.
Operator: Now we're going to take our next question. And the question comes the line of Matt Greene from Goldman Sachs. Your line is open, please ask the question.
Matthew Greene: Good morning, Gary and Steve. A quick -- got a couple of questions. Just on EVR. I appreciate your getting your feet under the table there. But how confident are you that the EVR assets are sufficiently capitalized to achieve the medium-term production outlook as previously outlined by Teck? And I'm asking this more around waste stripping. Teck has spent a lot in recent years, but we're seeing elevated deferred stripping across the industry. So do you believe they've spent enough? And are you comfortable with the mine plans that you reviewed as part of your DD? And then my second question, Gary, you mentioned M&A as part of Glencore's DNA. But we all know acquiring people with expertise, particularly in project execution is tough in the current market. So you made a comment to Ephrem's question earlier that you're building this expertise, but how is that going?
Gary Nagle: I'll take the second question first because I'll ask Xavier to just talk about the sort of sufficiency of EVR's sort of capitalized stripping of fleet. In terms of bringing people on, I mean, yes, of course, it's a project is its own particular skill set. But the good thing about projects is you don't need to keep to the mining industry to find an excellent project person. We've set up a particular project office in the right geography. We've staffed it with excellent professionals. There's more to bring on. We certainly want to bring in best in class, and we have brought in best-in-class and there's a few more positions to fill, which will be best in class. But given that -- although it is a mining asset, projects execution is a separate skill set. One doesn't need to just keep to mining peer mining industry to find these excellent project skills. And we're able to lever off other industries, whether it be oil and gas, there'd be other sort of industrial engineering where you can find excellent skills. So we're building up that expertise. We have hired and we continue to hire and very confident that we'll be able to bring in the right expertise.
Xavier Wagner: Thanks, Gary. Just thanks for your question on EVR. This -- I'll probably answer this, when you look at the sustaining capital run rate historically in that business, certainly is elevated compared to where we see our own operations. There's a couple of abnormalities in that. One obviously relates to the big investment that's gone into water treatment capacity, which elevates that aggregate figure. Second, when you look at the equipment replacement cycles typically in line with our own, in fact, seasonably good performance there. They have made some investments in new maintenance facilities as the -- have progressed, and that's currently a large project in execution. With regards to sort of waste stripping in new mining areas, that's been largely consistent. They've got big large pits, which have been sort of well capitalized. I think you've correctly pointed up. Having said that, they have a big new project, which demands permitting and it's currently going to the process of consultation and environmental permitting and studies. That pit forwarding of extension will require a significant investment when it comes up for approval. So that's probably somewhat lumpy within the next sort of 5-year window to continue to sustain production levels at the current run rate.
Operator: We're going to take our next question, and it comes from line of Izak Rossouw from Barclays. Your line is open, please ask the question.
Izak Rossouw : Good morning, team. Just a couple of questions. Firstly, on the operational side. The performance in the first half was probably a bit below expectations or what you had given at the beginning of the year in terms of the H1, H2 split. Do you mind just running through the sort of various assets in the DRC in Kazakhstan, I think Antapaccay mentioned as well, just what gives you the ability to be confident in this catch-up to maintain guidance and whether there's any risks into next year from any of these operational issues you've had this year? And then just secondly, on the Koniambo care and maintenance. You've given us some guidance for the first half. I guess in the spot illustrative numbers you've given a similar number, but just wanted to get a sense of what we should expect into next year and what the plans are for the operation?
Gary Nagle: Yes, I think, yes, I'll let Xavier take the operational question.
Xavier Wagner: Thanks. If you look at the first, second half split certainly H1 had a number of abnormal events and items -- the long-haul moves at the thermal coal business on account. We've also had obviously adverse weather, for example, cyclone weather in Queensland in the first half of the year. That was obviously abnormal one-off items that, obviously, we don't expect to repeat it in the second half of the year. Africa copper, probably two big drivers there. One, we had a more outage at the beginning of the year. We don't expect that obviously to be sustained. We're on top of that issue and expect both run rates and grade to improve significantly in the second half of the year there. That's a combination of run time and recovery. And then at Mutanda, obviously, we've sort of increased throughput rates at the operation there, which gives us additional comp in the second half of the year, which we didn't have in the first half. I think we've spoken significantly about Kazakhstan where we've got the continued ramp-up of Sharen that will give us additional units in the second half. We didn't have in the first. In LatAm, probably two different stories there. One is the JVs continue to well, both at Antamina and Kalawasi, sort of very reasonable performance there. Antapaccay, in particular, we had a large slope failure in the first half of the year, which we're in the process of recovering. Typically, that business performs quite well. It's excluding those abnormal events and certainly, the run rates have recovered to where we expect them to be. So again, sort of exceptional items out the way that business should perform and make its numbers in the second half.
Steven Kalmin: Yes. And on the sort of Koniambo, it continues to sort of step down. Obviously, each -- I mean you would have seen some present announcement around notifications have been gone out recently to adjust workforce numbers and the like. So that will sort of get into its true sort of care and maintenance cruising speed through the second half of this year. And the ongoing expenses, we expect to be sort of low double digits into the future.
Izak Rossouw: Okay, thank you. That’s all for me.
Operator: Now we will take our next question, and it comes from the line of Bob Brackett from Bernstein Research. Your line is open, please ask the question.
Robert Brackett : Good morning. In the commentary around marketing, you mentioned a tight physical market environment for commodities, including copper. Can you talk about -- is that true as we sit here today? And what are you seeing on the ground that informs the cadence for copper price and balances over the next 12 months?
Gary Nagle: Bob, thanks for the question. Copper is really more of a supply side issue, and we've seen underperformance across multiple miners in the first half of the year in terms of supply of concentrate in metal. And you see that in the shape of our TC/RCs as well. So supply had been severely constrained where there be issues and you just heard Xavier talk on some of the issues we've had on copper and Antapaccay. But all the peers across the industry are looking or have also restated and had -- or too many of the peers have restated issues in the first half of the year. So supply remains a concern for the copper market and have been a concern from a bullish perspective because there's much supply coming on. Demand is not as bad as people seem to say. Yes, stocks in China haven't drawn or are drawing at the moment. They did start drawing late, but they are drawing at the moment. You've sort of seen a buyer strike from the Chinese prices went above 9,500, 10,000. Chinese is very smart buyers of material. They know when to stop buying. In many cases, the producers who get nervous when they see this buying stock and then prices start dropping. But you've also seen obviously copper prices impacted by more of a macro theme. Many larger players play macros or play copper as a proxy for macro, particularly China. And with what's happened in the world in the last week or two, there's certainly been a risk-off tone around global growth. And as a result, part of that has been rotation out of copper. But if you look at just the fundamentals of it, and that's what we always go to supply demand fundamentals, where are units going, supply spoken to is constrained. Demand in China is good, particularly grid spending, particularly renewals. The areas that are very copper hungry stocks are drawing -- open. So we do see potential upside certainly from current levels. We do see upside for copper going forward.
Operator: And now we're going to take our last question for today, and it comes from the line of Alon Olsha from Bloomberg Intelligence. Your line is open, please ask the question.
Alon Olsha: Hi, morning. Thanks for taking my questions. Just two. Firstly, on your primary listing in London. So when you were considering spinning off coal, you indicated that CoalCo would be listed in New York, partially because of less ESG pressure. Now that you're keeping coal, are you committed to your prime listing in London now, notwithstanding the greater ESG been here? Or would you still consider kind of jumping ship to the U.S. or another jurisdiction as some others have done? And then a second question, just on smelting. You pointed out really tough conditions in those markets in the first half with the TCs plummeting, particularly in the spot market. But it's feeding into contract terms as well, Antofagasta reportedly struck a really low deal with Chinese smelters in June at around $23. So if that kind of level persists, is it fair to say that you would struggle to break even in your customer smelting business in copper? Thanks.
Gary Nagle: Thanks for your questions. I'll deal with the second one first, quickly, I'd say. I mean, yes, and one thing about us is we will shut smelters if they don't make -- if they don't add value to our business. I think generally across the industry, and not only copper but zinc as well, you will see smelter shuts, western smelters. You will see Western smelter shuts, I mean you cannot survive at zero or negative TC/RCs. And we would be -- we -- that's something that we would consider as well as shutting out custom smelters parts of our customer smelter business. You've already seen, for example, in zinc, we shut Portovesme. And that's -- it's not something that we're afraid to do. You've seen other producers or smelters do it as well, and we would do the same. So I think you will see Western cuts if these TC/RCs persist. On the exchange and the LSE, I think it's incumbent on every company and every management team to continually assess what the best exchange is for their security to trade on. I mean that should not just be because of this coal question or an X, Y, Z or an ESG question or a valuation question. Every management team of every company should always say, are we being represented on the right exchange for we have for our shareholders. So that's an ongoing question. It's got nothing to do with the fact that we're an owner of coal, we're spinning our coal, we're not spending our coal. I think that's something that should be a watching brief that one should always do. But at the same time, let's look at what's just happened. We've consulted with our shareholders -- many of our shareholders, if we just sort of target down into our company, we've consulted with potential shareholders and existing shareholders on the coal spin and overwhelming support to key coal. A lot of that, a big margin, a big portion of that coming from European investors, very happy with us to keep coal, very happy with our rundown strategy. You would have seen our 90% plus approval of our climate action transition plan at our AGM. So that is very -- that's, of course, very promising. But we still continue to always assess that we're on the right exchange. The one thing you don't want to get caught up on is a flavor of the day decision. If today, it's a very good idea to be on, let's say, your example of the New York Stock Exchange, we do all the work, we go through all the effort, we move with the New York Stock Exchange, it's just down the rough line for some reason, at the New York Stock Exchange is no longer the best exchange. Then we're off shopping and now we're in the TSX. And after that, we're down to the ASX, and then we're back to the LSE. One can't be swapping and changing just on the flavor of the day. One has to be considerate and take a longer-term view on the best exchange for our business. At the moment, we're comfortable on LSE, but does that mean that we're not open to looking at other options if we see a fundamental change and a reason to change, we would consider it.
Alon Olsha: Got it. Thanks very much.
Gary Nagle: Okay. Thanks very much for the questions. We appreciate all your feedback, your questions. As always, Mark and myself, Stephen and Xavier available for any follow-up questions. Otherwise, thanks very much, and have a good day.
Operator: This concludes today's conference call. Thank you for participating. You may now all disconnect.